Operator: Ladies and gentlemen, thank you for standing by. Welcome to QIAGEN N.V. investor and analyst conference call on the Q1 results 2012. (Operator instructions) I would not like to turn the conference over to Albert Fleury, Director Investor Relations and Corporate Finance NA. Please go ahead, sir.
Albert Fleury: Thank you. Good afternoon and good morning to you in the U.S. and welcome to the QIAGEN conference call to discuss our latest quarterly results. Joining me on the call this morning are Peer Schatz, Chief Executive Officer, Roland Sackers, Chief Financial Officer, and John Gilardi, Vice President, Corporate Communications and Investor Relations. A copy of this announcement and the presentation for this conference can be downloaded from the Investor Relation’s section of our home page at www.qiagen.com. Before I turn the call over to Peer, please keep in mind that the following discussion and responses to your questions reflect management’s view as of today, April 26, 2012. As we share information to help you better understand our business, we will make statements and provide responses that state our intentions, beliefs, expectations or predictions of the future. These constitute forward-looking statements for the purpose of the Safe Harbor provisions. These involve certain risks and uncertainties that could cause QIAGEN’s actual results to differ materially from those projected. QIAGEN disclaims any intention or obligation to revise any forward-looking statements. For a complete description of the risks and uncertainties, please refer to our Form 20-F filed with the U.S. Securities and Exchange Commission. At this time I’d like to now hand the call over to Peer.
Peer Schatz: Thank you, Al. Good morning to all joining us from the United States and good afternoon to all joining from Europe. I’d like to welcome you all into our conference call and the opportunity to discuss our results for the first quarter of 2012. As you saw in our release last night, we are pleased with our start into 2012 and improving demand for our products across all customer classes and regions. And sales were $296 million representing a 13% increase at constant exchange rates. Adjusted operating income rose 14% to approximately $80 million and adjusted diluted earnings per share rose to $0.23 per share. These results led by double-digit growth in all regions and also contributions from all customer classes were ahead of our targets. What were the reasons? Demand for our product among customers and Pharma Applied Testing and Academia improved better over the first quarter of 2011, a period that was adversely affected by the disasters in Japan as well as unrest in Northern Africa. We also saw solid gains among our growth drivers in molecular diagnostics. These include companion diagnostics for personalized health care. These areas are contributing more than $75 million in sales across QIAGEN and growing rapidly. We’re also seeing solid growth for our disease profiling tests. Growth in this area is further underpinned by the success of QIAsymphony. HPV sales were flat in the quarter. As we have said, HPV is not expected to be a growth driver in 2012, however, remains a solid foundation for our expansion in molecular diagnostics into the growth driver areas that include personalized health care and profiling. In terms of the 13% constant exchange sales growth, about 7% percentage points came from the Celestus and Ipsogen acquisitions completed in the third quarter of 2011. The rest of business delivered 6 percentage points, so we’re seeing signs of improvement over 2011. A key driver has been the progress we have been making on our strategic initiatives to drive platform success, to add content, to broaden our geographic presence and to grow efficiently and effectively. Important developments in the first quarter of 2012 included the first regulatory clearance of a QIAsymphony component in the United States, the Roto-Gene Q real-time PCR cycler and in China we received approval for the second of three components, in this case, the QIAsymphony SP module. In terms of adding content, we are preparing for the U.S. approval of the KRAS biomarket tests. FDA decisions are expected during 2012. And we are improving our efficiency and effectiveness. The efficiency program launched in late 2011 is making good progress and we are now implementing projects that are freeing up resources to reinvest. Also in our press release we announced some organizational leadership changes. Effective July 1, we are creating two business areas; Molecular Diagnostics and Life Sciences. I will touch on this topic later. Moving to Slide 5, I wanted to show you how we view the various contributors to our performance; Molecular Diagnostics which represented 47% of QIAGEN sales rose 21% on the constant exchange rate basis. We are to invest even more in our rapid growth drivers. These include personalized health care, profiling and QuantiFERON-TB test. These and other products together delivered 37% constant exchange rate growth and represented 29% of our sales. As I mentioned earlier, we are seeking to maximize the value of our HPV franchise. We had flat sales in the first quarter of 2012, both in the U.S. and globally and this product now represents 18% of net sales globally. In the United States the contribution is fallen to 14% of sales in the first quarter of 2012 compared to 16% in the first quarter of 2011.
Roland Sackers : As a percentage of net sales, higher manufacturing and sales costs were essentially upset by lower spending on R&D, marketing and administration. Adjusted diluted earnings per share were $0.023 in the first quarter, up from $0.21 in the same period of 2011. (inaudible) despite a higher adjusted tax rate. First quarter of 2012 compared to 26% in the same period of 2011. I also want to note there the difference between the reported tax rate, which was 14%, and the adjusted tax rate. The difference was due mainly to a much higher tax rate on the adjustments, since these were mainly in high tax jurisdictions. In summary, the third quarter for QIAGEN was a solid start to the year. I’m now on Slide 7. For the quarter we delivered double-digit growth in all regions and we were particularly pleased with the broad business expansion in the Americas, namely the U.S., Canada and Brazil. The Americas, which account for 47% of net sales grew 15% using constant exchange rates. Placement QIAsymphony tests across all customer classes, as well as contributions from the QuantiFERON-TB test underpinned this growth. In the U.S., as noted by peer, HPV were stable in the first quarter. The Europe, Middle East and Africa region, which account for 34% of net sales, grew 12% using constant exchange rates. Spain and some other areas of southern Europe remain challenging. However, our exposure in this region is quite small and other areas of Europe are doing better, such as Germany, France and the Nordic region and we also saw improvement this year (inaudible) in Italy. The Asia-Pacific and Japan region accounted for about 18% of net sales and grew 14% using constant exchange rates. Growth is mainly lead by contributions from Molecular Diagnostics. We also experienced important growth contributions, however, from Pharma and Academia. The key markets remain China and Japan. We continue to be pleased with some momentum of QuantiFERON-TB test in this region, as well. Moving to Slide 8, here is an overview of our financial position at the end of the first quarter. We continue to have a healthy balance sheet and solid financial position. One that we can use to strengthen our operations. We continue to review various M&A opportunities along our three strategic areas of Novell Technologies, adding content to our portfolio and geographic expansion. As of March 31 group liquidity was approximately US$275 million which compares to approximately US$276 million as of December 31, 2011. Our equity ratio stood at 69% compared to 68% at the end of 2011. Our leverage has decreased slightly to approximately 0.8 times net debt to EBITDA from about 0.9 at the end of 2011. As for free cash flow, we had said in the Q1 results would be grossly affected mainly due to the restructuring payments for the efficiency program launched late in the fourth quarter of 2011 and this was the case. Although reported net income was essentially steady at US$28 million, we experienced a growth development in other non-cash components, in income and working capital which led to negative free cash flow for the first quarter. Among reasons for the change in working capital which amounted to US$45.5 million in the first quarter of 2012 compared to US$16 million in the prior year quarter where cash restructuring payments of approximately US$20 million. Also in the first quarter of 2012 we experienced an unusually low level of accounts payable compared to the first quarter in 2011 and we also made some tax payments for both 2011 and 2012 in the first quarter of this year. Those were among the main reasons for the performance of free cash flow and, again, they expect improvement during the course of 2012. I would now like to hand it back to Peer for a strategy update.
Peer Schatz: Thank you, Roland. I am now on Slide 6 to provide you an overview of our strategic initiatives and goals set for 2012. We are well on track to achieve our number one goal which is to have more than 200 new QIAsymphony systems by the end of 2012. This builds on the more than 550 systems in place at the end of 2011. We are in the early years of a decade long product cycle, and we expect the rollout to be successful based on QIAsymphony's versatility in terms of sample processing bandwidth, as well as flexibility to prepare and process assays. In terms of adding content, we are preparing important regulatory submissions that include a Therascreen EGFR by a market test in the U.S., and decisions on our two Therascreen KRAS submissions could be expected in 2012. Discussions with the FDA remain positive. As we broaden our geographic presence, we are reviewing options to expand in new markets in Eastern Europe, Asia, and Latin America. And in terms of growing efficiently and effectively, we have completed the streamlining of our organization that began in late 2011. We are now working to free up additional resources that can be reallocated to further initiatives through various operational projects. These actions and reinvesting the savings will help improve our growth profile in 2013 and beyond, and also provide positive impulses to our adjusted operating margin.Turning to slide 10, I want to give you an update on the QIAsymphony automation system. We see QIAsymphony as a family of components that offers customers the industry's first fully integrated system from sample preparation to clinical results. First, we recently received U.S. regulatory clearance for the Rotor-Gene Q, and we are working on development plans to gain clearance for QIAsymphony SP and AS modules. Gaining this first clearance is critical to expanding our test menu in the United States, since future assay submissions will be based on this platform and can now leverage the work that lead to the submission of the first module. We are continuing to see strong growth in demand for consumables. Every placement creates an opportunity for annual consumable sales, or so called pull through, of anywhere between $30,000 to $300,000. And we continue to view QIAsymphony as a very valuable, very long term growth driver.Turning to slide 11, here is an overview of the submissions for which we have recently received regulatory approvals, as well as completed in 2011 and what we have planned for 2012. We are looking forward to completing a number of important regulatory submissions to expand the menus of our system. Top priority is the U.S. submission of the Therascreen EGFR assay. The first submission for this assay is planned as a companion diagnostic for (inaudible), the lung cancer drug in development with Boehringer-Ingelheim. This will build on the 2011 submissions of KRAS and also the 2011 approvals of the KRAS and EGFR assays in Japan, one of the largest markets for companion diagnostics. With over 15 projects, we have the industry's deepest pipeline of partnered molecular, companion diagnostics that will build on these submissions.Moving onto global regulatory affairs, we presently have over 50 ongoing R&D projects, which include regulatory submissions or registrations. As you can see, this represents a growing global portfolio of regulated products, and we are now moving to build up the testing menu in the United States to mirror what we have in other regions. Turning to Slide 12, I wanted to address some of the questions we have been getting about the market potential for QuantiFERON-TB. We believe this product, which we acquired with Celestus in August 2011, is being underappreciated. 2011 pro forma sales were about $55 million and the growth rate continues at more than 20% constant exchange rate. We see long-term growth potential for QuantiFERON-TB in the United States worldwide. We're at a very low market penetration level, still. As we've been saying, we see the latent TB testing market, which is a market in the developed world, as about 50 million tests and one valued at about $1 billion. Alone in the United States, our current estimate is that the market is about 15 million tests, and distributed among these segments as you can see here on the slide. Apart from the more than 100-year-old skin test, there is no other test on the market with any significant sales nor is there any in the pipeline. Areas in blue are the primary targets at this time; however we are building up sales and marketing organizations to move much more aggressively into the other segments, especially immuno-compromised patients. So you'll be hearing a lot more about QuantiFERON-TB in the future and seeing it become a key contributor to our growth.  Turning to Slide 13, QIAGEN has established a leadership position in personalized health care, one anchored on various revenue streams. Sale of commercial biomarker kits for use as companion diagnostics, but also in clinical trials involving patients. Milestone payments from co-development projects. We have a robust portfolio of projects underway with many leading Pharma companies, and we are looking to add new projects in 2012. And we also have revenues from associated products, such as sample technologies, asset technologies, instruments, gene-globe molectro-pathway analysis tools, etc. We have created a business with sales of about $75 million in 2011, growing it more than 20% overall with contract development services as a base in strong growth, very strong growth, in Therascreen branded assays and related products. We expect ongoing, strong growth in 2012, especially as we expand the commercial sales of our tests in Europe, as well as build up our presence in Japan after the approval of Therascreen KRAS and EGFR biomarker tests during 2011 in that region. And most important, we are preparing for the commercial launch of our Therascreen KRAS test as a companion diagnostic for Urbatox and Vectibix in the United States. We wanted to outline the U.S. market potential for KRAS and colorectal cancer only, which will be the indication for this test. Based on the breakthrough data presented at ASCO a few years ago, we currently estimate that about 75,000 KRAS tests are being performed annually in this area, for this indication, in the United States. We currently sell about 20,000 PCR based KRAS tests in the United States while the rest of this market is estimated to involve laboratory developed tests. Our first priority is to convert laboratory developed tests to our tests. We are very encouraged by the response and acknowledgement by these labs about to benefit from switching to an FDA approved test. Beyond these tests we will be working with our Pharma partners to drive penetration to an even higher level. Based on an estimated price of about $200 per reportable test, KRAS and colorectal cancer will be an attractive growth driver for QIAGEN. And that is just the start. We are working to add a theraScreen KRAS test for lung cancer and beyond KRAS the next submission will involve ETFR also for lung cancer already in 2012. These opportunities represent potential markets and show you why we are optimistic about maintaining a rapid growth pace in the future. I'm now on Slide 14. As you know we announced a project in November to grow more efficiently and more effectively. We are enhancing productivity and have a goal to free up about $50 million of pre-tax resources for reallocation to strategic initiatives. In the first phase we have completed the streamlining of our organization and the workforce was reduced by approximately 10%. This is a net number since we are going to redeploy resources into areas that can provide faster top line growth. Teams are now working on initiatives across the organization. Key areas include focusing our R&D portfolio on growth areas across all customer classes. This obviously also includes personalized health care as well as QIAsymphony. We're also going to optimize capacity utilization and are reviewing our site network. The project is moving quickly and we booked approximately $11 million of restructuring charges in the first quarter. Further charges are likely to be taken during 2012 and we had said that these could total up to about $20 million for the full year. And as we mentioned earlier, the payback on these investments will become evident in 2013. Moving to Slide 15, as you saw in our announcement last night we have made important changes to QIAGEN's organizational structure at the top level, as well. These changes are designed to capture new opportunities and better address customer needs. Most importantly, as of July 1, two new business areas are being created to intensify the focus on our customers. They are Molecular Diagnostics and Life Sciences, whereby Life Sciences comprises Academia, Pharma and Applied Testing. As I mentioned earlier, Dr. Helga Lubenow is appointed Senior Vice President, Molecular Diagnostics and Dr. Dietrich Hauffe is appointed Senior Vice President, Life Sciences. Both will become members of the executive committee. Joachim Schorr, who had been Senior Vice President of Research and Development and a Managing Director, has decided to leave QIAGEN and pursue personal projects, but he has been retained as a consultant. Michael Collasius, former Senior Vice President of Automation, will take on a new role with responsibility for project management and business process excellence reporting to me. All other members of the EC remain in their previous roles. We believe these changes will promote faster decision making, customer-centric decision making and our goal is to deliver targeted innovation at a faster pace through better connections with our customers. This is the appropriate time in the development of QIAGEN to make this transition into business areas and regions. It will help to better prioritize and align our R&D and commercial activities, all with the goal of driving innovation and growth at a faster pace. I would now like to hand back to Roland.
Roland Sackers: Thank you, Peer. Now on Slide 16. I would like to give you an outlook for the second quarter and for the year 2012 and assumptions for adjustments to operating income. As you mentioned earlier, we have reaffirmed our full year outlook for 2012. We also provided targets for the second quarter including our expectations for a net sales growth of approximately 11% to 12% at constant exchange rates. As was the case this first quarter, we expect some headwind as reported to us due to year-on-year foreign currency movements. Adjusted EPS for the second quarter is expected to be about $0.24 per share. This reflects the usual trend of relatively higher cost at the start of the year, but then an improving margin profile as the year progresses. For the full year, we continue to expect total sales growth of about 6% to 8% using constant exchange rates based off a mix of contributions from Celestus and Ipsogen acquisitions as well as from the result of our business. These estimates, as usual, do not take into account any acquisitions that could be done in 2012. Based on average foreign exchange rates so far in 2012, our reported full year results will continue to show some pressure from currency movements. We currently expect currency (inaudible) of about two to three percent points. The actual reported results would then be lower than the total constant exchange rate, which adjusted earnings per share for the full year as expected to be between $1.03 and $1.05 per share. This is based on approximately 239,000,000 fully diluted shares outstanding. We also have here on this slide the assumptions for adjustments to operating income for the second quarter of 2012 and for the full year. EBITDA, the best compensation of about US$21 million to US$22 million remains the expectation. About US$110 million is spent for the amortization of acquired intellectual property. About US$30 million is planned for business integration, acquisition and restructuring this includes about $20 million for the efficiency project, of which $11 million was taken in the first quarter. Also included here is about $8 million of acquisition-related cost for (inaudible) and their integration. The adjusted tax rate is expected to still be about 21% and 23%, which compares to 23% in 2011.
Peer Schatz:
Albert Fleury:
Operator: Sure. For the first question, if you take our annual number of about 200 instruments that we put out there as a target and we reiterated today that we feel confident that we can achieve this number. That would equate to about 50 units a quarter. Now 50 units a quarter and with an average design, you know if you put together the modules you can go to $150,000 or you can go as low as $75,000 for the base module. If you assume $100,000 per system times 50 systems, that would be about $5 million of sales. That would be somewhere in the range of 1.5% of organic growth impact if you have a 100% switch. It's very meaningful in terms of revenue contribution on the instrumentation. You can assume it's about a percentage point of organic growth differential overall for a quarter if you average this out over the year.
Daniel Wendorff - Commerzbank: Sure. For the first question, if you take our annual number of about 200 instruments that we put out there as a target and we reiterated today that we feel confident that we can achieve this number. That would equate to about 50 units a quarter. Now 50 units a quarter and with an average design, you know if you put together the modules you can go to $150,000 or you can go as low as $75,000 for the base module. If you assume $100,000 per system times 50 systems, that would be about $5 million of sales. That would be somewhere in the range of 1.5% of organic growth impact if you have a 100% switch. It's very meaningful in terms of revenue contribution on the instrumentation. You can assume it's about a percentage point of organic growth differential overall for a quarter if you average this out over the year.
Peer Schatz: Sure. For the first question, if you take our annual number of about 200 instruments that we put out there as a target and we reiterated today that we feel confident that we can achieve this number. That would equate to about 50 units a quarter. Now 50 units a quarter and with an average design, you know if you put together the modules you can go to $150,000 or you can go as low as $75,000 for the base module. If you assume $100,000 per system times 50 systems, that would be about $5 million of sales. That would be somewhere in the range of 1.5% of organic growth impact if you have a 100% switch. It's very meaningful in terms of revenue contribution on the instrumentation. You can assume it's about a percentage point of organic growth differential overall for a quarter if you average this out over the year.
Daniel Wendorff - Commerzbank: Sure. For the first question, if you take our annual number of about 200 instruments that we put out there as a target and we reiterated today that we feel confident that we can achieve this number. That would equate to about 50 units a quarter. Now 50 units a quarter and with an average design, you know if you put together the modules you can go to $150,000 or you can go as low as $75,000 for the base module. If you assume $100,000 per system times 50 systems, that would be about $5 million of sales. That would be somewhere in the range of 1.5% of organic growth impact if you have a 100% switch. It's very meaningful in terms of revenue contribution on the instrumentation. You can assume it's about a percentage point of organic growth differential overall for a quarter if you average this out over the year.
Peer Schatz: Sure. For the first question, if you take our annual number of about 200 instruments that we put out there as a target and we reiterated today that we feel confident that we can achieve this number. That would equate to about 50 units a quarter. Now 50 units a quarter and with an average design, you know if you put together the modules you can go to $150,000 or you can go as low as $75,000 for the base module. If you assume $100,000 per system times 50 systems, that would be about $5 million of sales. That would be somewhere in the range of 1.5% of organic growth impact if you have a 100% switch. It's very meaningful in terms of revenue contribution on the instrumentation. You can assume it's about a percentage point of organic growth differential overall for a quarter if you average this out over the year.
Daniel Wendorff - Commerzbank: Okay.
Peer Schatz: In terms of a reagent pull through we said anywhere between $30,000 to $300,000, significantly above, well in the higher numbers for the European number where we have a menu of about 20 tests. That is also cleared to run on the system, including also the blood virals that immediately create a larger volume. That's with the hepatitis and HIV and that portfolio is generating a significant pull through already. As soon as you have a placement like that, you immediately go into higher numbers. As we calculated in the last call in theory the system can go several times that $300,000 number if you want to put it to the max.
Daniel Wendorff - Commerzbank: Okay.
Roland Sackers: So, Daniel, it%u2019s Roland. Again, just in addition to that, of course, for example, if you look on our guidance and, of course, our (inaudible) for the second quarter we did 10% to 11% at constant exchange (inaudible). This, of course, includes also an increase in imports where this is exactly what we expect sequentially to go over the next couple of quarters and a year. So it's clearly a significant contribution factor for us.
Daniel Wendorff - Commerzbank: Okay. Thank you very much. I'll go back into the queue then.
Peer Schatz: Thanks, Daniel.
Operator: The next question comes from Mr. Tycho Peterson. Please go ahead, sir.
Tycho Peterson - JP Morgan: Thanks for taking the question. Peer, just wondering if you can reconcile your comments here about improving trends in Academia and then I think you also said uncertainties in the U.S. and Europe. The follow-up to that is you had a good quarter, you didn't raise guidance. Are there things we should be thinking about later this year that are variables here or are you just trying to be a little bit more conservative? Thank you.
Peer Schatz: To the first question, we are definitely seeing an improvement also in the overall sales of our products into Academia and while the end markets remain still a little bit uncertain in terms of their long-term funding we have quite successfully been able to reallocate the portfolio and also the marketing directions onto the areas of clinical research that are providing superior growth rates in the overall growth in the Academic arena. We are currently seeing a stable environment in the United States, question marks around 2013. We're seeing quite stable Academic growth in many countries across Europe. Some improvements Roland mentioned, Italy for instance, this is something where we expect the market to continue pretty much at the same pace through 2012 and 2013. Clearly there's a question mark in the United States around academic funding and sequestration, but these impacts will become more visible during the year. But just to put this into perspective, the U.S. academic market is, for us, a 10% swing in the sales into U.S. Academia would be about 1% organic growth for us so it's not as meaningful as some swings would be for companies that are more exposed for the Academic markets. Now in terms of the outlook, clearly we're moving into the year, it's the first quarter of the year. We gave a range of different targets for the full year. We are increasingly confident that we'll be able to meet these targets so going forward we will be reassessing our guidance. I thought the first quarter in the year moving into this year we decided to leave the guidance where it is today.
Tycho Peterson - JP Morgan: Thank you.
Peer Schatz: Thanks.
Operator: The next question comes from Quintin Lai. Please go ahead, sir.
Quintin Lai - Baird: Hi, good morning.
Peer Schatz: Good morning, Quintin.
Quintin Lai - Baird: Congratulations on a really nice start to the year.
Peer Schatz: Thank you.
Quintin Lai - Baird: Peer, you said that you did start better than expected. What are some of the things that positively surprised you in this quarter?
Peer Schatz: Sure. There were quite a few things actually. There wasn't any single event and I would hope that this is an indication of a continuing good trend going forward. We are seeing good uptake in the QIAsymphony portfolio. As we said before, very strong uptake on the personalized health care area, strong performance in the QuantiFERON-TB franchise. As these things are moving into our portfolio and are now being directed in a very deliberate way into the market, we're seeing everything together being offered very nicely to our customer portfolio in an efficient and effective way in terms of channel management. Those would probably be the highlights in the MDX area. We've seen very good growth in countries such as Japan, good growth also across Asia-Pacific and that is interesting to see because we're starting to see some of the initiatives that we started last year now generate the numbers to show the success that we were hoping for. We think the positioning is one of the ingredients of this. Individual products, QIAsymphony, quantiFERON, and Therascreen, but also things like the Ipsogen portfolio doing very nicely and coming in ahead of their targets. We will do everything to continue this trend and make this trend more visible over the next few quarters.
Quintin Lai - Baird: Thanks for that, Peer. By the way, pass on our best to Joachim. Congratulate him. All the best as he goes on to his future.
Peer Schatz: Thank you.
Quintin Lai - Baird: As you look at your R&D now that you've formalized a split, will you put more of the R&D allocation more toward the diagnostic side and the higher growth areas?
Peer Schatz: We will have a balanced application of capital to maximize shareholder value. I think that's one of the elements that we're driving in a much more deliberate way. Allocation of capital and target setting to make sure that we get the maximum out of the resources that we invest. There are definitely very exciting areas in the life sciences that provide great returns on capital. As we said before, the life science market is getting more diverse. You have broader portfolios and certain very exciting technologies to spice up the whole portfolio. That's how we're going to look at it going forward: on a more portfolio basis, but allocation of capital to maximize shareholder value.
Quintin Lai - Baird: Thank you.
Peer Schatz: Thanks.
Operator: The next question comes from Mr. Martin Wales. Please go ahead, sir.
Martin Wales - UBS: Okay. Good morning, good afternoon. My first question really would be if we look at your method of diagnostics business. Specifically, what sort of organic growth are we seeing there because as far as I can tell, the strong growth in that particular business seems to have been very largely driven by the acquisitions you made last year. My second question in terms of your reorganization, will two of you be anticipating a restate... either you will present your top line in a slightly different way after the first of July to reflect the way you're organizing the business, or will we still get the same numbers that you're presented pretty consistently in recent years? My final very quick one is, could you give us some quantitative sense of how the revenue for QIAsymphony has developed and where you think it will go from here? How long for the U.S. to catch up the Europe given that you'll be getting into a rollout or you're hoping to get more test approvals in the U.S. in the near term.
Peer Schatz: Thanks. Well, first question, I've seen a significant jump in the organic growth rate not only due to the acquisitions, but actually due to the organic underlying growth rate. We're up 6% compared to the 2% to 3% that we saw over the course of 2011. It is an improvement.
Martin Wales - UBS: Sorry, mate. Yeah, it is, I agree, but my question is specifically (inaudible) of the Molecular Diagnostics segment. As all of the acquisition driven revenue growth is presumably reflected in that business.
Peer Schatz: Right. We didn't disclose that number, but if you run the numbers you'll see that the growth rates in Molecular Diagnostics also excluding the acquisitions was quite strong. So we'll definitely expect to see further momentum also in this area going forward in the underline as the acquisitions then become organic. I think that will give a fairer picture and that will happen in the third quarter. Second question was around the transparency and you probably see we are providing you with a lot of transparency on the revenue trends and our customer classes. We will continue with this approach with the new organizational structure that we have created and we will continue to provide color on certain areas of the business that are of interest to the financial community such as HPV and QIAGEN's new trends. At the same time we generate significant synergies within our operations and we will continue our current reporting practices. But if you look at what we actually split out and have been splitting out now for a few quarters, it goes far beyond just the revenues of the business areas. We actually go into sub areas and individual product lines so this transparency has increased quite considerably also compared to standard industry practice.
Martin Wales - UBS: I agree. I would be reluctant to lose it so I'm pleased to hear that you will continue.
Peer Schatz: Thank you. In terms of the revenue of QIAsymphony, we're splitting out the numbers of the systems and what we see as average pull through in the systems and the range. But I would be very reluctant to put that into a revenue number at this point in time.
Martin Wales - UBS: How long do you think given that you’ve been getting U.S. revenues (inaudible) understandably are below those in Europe at the moment because of where you are in terms of your test offering. How long do you think it will take for the U.S. to catch up to Europe?
Peer Schatz: Well the U.S. is a much large homogenous market so it doesn't need a lot for the U.S. to catch up. It needs the approval of a few of the assays in addition to the broad menu of LDTs that are currently already being run in the United States on this system and today as we said in the last call we actually have a significant number of QIAsymphonys and are replacing a lot of QIAsymphonys in the United States for LDT testing. And so these systems will be getting the approved assays and cleared assays coming through on them as well. We already have the placements out there which is a nice preparation of our future growth opportunity.
Martin Wales - UBS: Okay. Thanks very much.
Peer Schatz: Thank you.
Operator: The next question comes from Zarak Khurshid. Please go ahead, sir.
Zarak Khurshid - Wedbusch: Hi, guys. Thanks for taking the questions. First on the Molecular Diagnostics piece, I wasn't sure if you broke out portion of that which is booked in the Academia and Pharma bucket. Can you just talk about that and how that's trending? And, then, secondly, getting more granular on the Applied Testing business, can you talk globally. It sounds like things are going well but just talk about globally what are the drivers of that business. Thank you.
Peer Schatz: All right. So the first question was around molecular technologies in the Academic markets if I understood that correctly. That is an area that is indeed one that we're focusing on considerably because the pharmaceutical sector remember is part of the Life Sciences overall piece and also partly in the Academic area due to collaborations, tripartite agreements with Pharma and Academic institutions and potentially even CROs. We are seeing a good uptake also in particular in personalized health care products in the academic piece, but it is not really material enough to be driving the growth in a meaningful way in this area. It's pulling along I think the whole portfolio of products due to the positioning that we can create. The second question was around the applied testing markets. We had a very strong initiative in 2010 and 2011 to significantly expand the menu in that area. If you remember we acquired the IP portfolio in forensics. We're very successful in Europe in forensics and are looking forward to the IP opening up in the United States soon so the portfolio's doing quite well. The food testing portfolio is also doing very well and in some of these outbreaks in certain regions we have 60% to 70% of the food testing market right now. This is still a very small market. Veterinary testing, also a few tests out of there. Also the QIAsymphony coming together and the whole portfolio being sold is driving that revenue considerably. We were not pleased with 2011 in that area. I think we put in a lot of initiatives for 2012 and they're showing the first effects and I hope this trend continues.
Zarak Khurshid - Wedbusch: Thank you.
Operator: The next question comes from Mr. Jon Groberg. Please go ahead, sir.
Travis - Macquarie: This is actually Travis in for Jon today. Just a couple of quick questions related to your sales. You saw impressive growth in Implied Testing and you had an easy comp, but it wasn't a small base. Were there any one-time items that we should be aware of? Secondly, do you expect HPV sales in the U.S. for the year to be flat?
Peer Schatz: On the second question, I'll answer that. Roland, if you'll take the first? In terms of the HPV sales we said that this will provide a stable base for 2012 and 2013. We are expanding the market. There are other competitors emerging. We are clearly leading the market also in terms of signing up new contracts so there is an expectation for us for this to be a stable base for 2012 and 2013. Roland?
Roland Sackers: For the first question, it's very straightforward. Nothing much here was significant which was a one-time revenue or a non-recurring item.
Travis - Macquarie: How fast did Celestus grow year-over-year and what are you thinking about the growth rates in that business over the next three years?
Roland Sackers: For Celestrus you mean?
Travis - Macquarie: Yes, sir, on Celestus.
Roland Sackers: As you said before we are experiencing a good contribution factor from acquisitions in the first quarter is clearly mainly driven by (inaudible) because (inaudible) much more 2013 and going forward then and so again we expect 20+% growth rate for 2012 and beyond. 
Travis - Macquarie: Okay. Thank you.
Operator: The next question is from Mr. Bill Bonello. Please go ahead, sir.
Bill Bonello - RBC Capital Markets: Hey. Good morning. Thanks a lot. I have a question on the KRAS assay. Can you give us some sense of how you think the market's going to convert once there is an FDA-approved assay? What percent of that 75,000 tests, that I assume are currently done using a lab-developed test, will convert to an FDA-approved assay? If there's any push back that you might get from any of those labs on why they think their home-brewed test is better? And then finally, as part of that, if the molecular coding plays in in any way. I mean, I think right now the labs are probably billing using stacked codes and by next year they will probably be a specific KRAS code, I think, and how that fits in?
Peer Schatz: Sure. I think the reason for adoption is if the test is, number one, good. i.e. addresses the mutations that are relevant. There are examples that have emerged recently where it was quite clear that the test was not addressing the information needs required to make a good judgment. Number two, the system has to be more than a one-trick pony. So there needs to be visibility for a menu coming forward so if somebody makes a $50,000 investment for the base modules or maybe even $150,000 for a full system, he or she has to know that there is going to be enough volume to amortize this investment going forward. And for that, KRAS is an interesting marker because it is the largest volume marker in companion testing today, molecular companion testing. Number three, the validation that is unprecedented also for multiple different drugs not only for one captive drug that might even be small in some cases but now we're looking at major, major drugs that we are co-validating with that is a differentiator. Number three, as you said, FDA is clearly making signals that they want to see more FDA-approved products and reimbursement is also going in that direction. All of these things together make us feel quite good. Also, based on the initial surveys that we will be quite successful in creating a wide-spread adoption of this test.
Bill Bonello - RBC Capital Markets: So you think that could convert pretty quickly then?
Peer Schatz:
Bill Bonello - RBC Capital Markets:
Peer Schatz:
Bill Bonello - RBC Capital Markets:
Peer Schatz:
Operator:
Brian Weinstein - William Blair & Company:
Peer Schatz:
Brian Weinstein - William Blair & Company:
Peer Schatz:
Brian Weinstein - William Blair & Company: Okay. Thank you very much.
Peer Schatz: Thank you.
Operator: The next question comes from Mr. Peter Lawson. Please go ahead, sir.
Peter Lawson - Mizuho Securities: Peer, just on the potential delays surrounding U.S. Academia, is there anything you can do to help the customers from freezing their spending and then is that the market you're most worried about for 2012 and 2013?
Peer Schatz: Thanks, Peter. No actually we're not worried about Academia. If you look at our growth rates they are quite a bit above the average in this industry. We are actually working quite well in this market and are not necessarily now resorting to any mitigating special measures to bridge anybody. There is I think an outlook that we see as stable. There are challenges as always, but it is not an area that is requiring any premium or special support in any way at this point. Again, I would like to point to the growth rate, two or three times other growth rates that have been reported over the last few weeks.
Peter Lawson - Mizuho Securities: Thank you, and then just on the personalized medicine business that's what, $75 million. What's the breakdown of products versus service and how much of that is KRAS?
Peer Schatz: Product is the majority and growing quite rapidly. The services are typically quite stable and as we have a certain amount of resources we are adding as many resources as we can but this is not a 40% to 50% growth area. We are seeing the growth on the product side. Remember our products are approved already in many countries of the world including Europe and Japan and many other countries in addition to that. Thank you.
Operator: The next question comes from Dan Leonard. Please go ahead, sir.
Dan Leonard - Leerink Swann: Thank you. Just a question and follow up on the R&D expense. I'm trying to understand so the drop in R&D expense year-over-year and sequentially contradicts a little bit my assumption that you'd be investing heavily in menu expansion and (inaudible) ensemble development. So can you address the source of the fall and maybe give us an update on your automation programs? Thank you.
Peer Schatz: Good catch, Dan. What we basically did in Q4 and early Q1 is we reprioritized the R&D portfolio to make sure that every R&D program provides the maximum benefit for the company in terms of returns and value creation and for that we actually cut from about 180 programs. We cut almost half, and are reallocating them to projects that we see significant growth opportunities behind and putting those resources in those areas. That has lead to a temporary reduction, but we see the growth rate hovering around one or two percent around where we have been seeing it in the past. I don't expect us to deviate from the path that you've seen over the course of the last few years.
Dan Leonard - Leerink Swann: And on the automation update ensemble?
Peer Schatz: Yeah, we're moving along on these automation elements also for (inaudible). I suggested we put that into an upcoming conference call. There is great progress in that area as well, we can share some time in the August time frame.
Dan Leonard - Leerink Swann: Okay. Thank you.
Peer Schatz: Thank you.
Albert Fleury: Thank you very much. At this time we will close the call and I would like to thank you all for participating. If you do have any additional questions, please do not hesitate to contact John or myself. Thank you.